Executives: Stefan Gruber - Vice President of Investor Relations William R. McDermott - Co-Chief Executive Officer, Member of the Executive Board, Member of Global Managing Board, Chief Executive Officer of Global Field Operations and President of Global Field Operations Jim Hagemann Snabe - Co-Chief Executive Officer, Member of Executive Board, Member of Global Managing Board, Corporate Officer, General Manager of Industry Solutions and Head of Development for The SAP Business Suite Werner Brandt - Chief Financial Officer, Member of Executive Board and Member of Global Managing Board Lars Dalgaard - Member of Executive Board and Member of Global Managing Board
Analysts: Stacy Pollard - JP Morgan Chase & Co, Research Division Adam Wood - Morgan Stanley, Research Division Philip Winslow - Crédit Suisse AG, Research Division Gerardus Vos - Barclays Capital, Research Division Michael Briest - UBS Investment Bank, Research Division Richard G. Sherlund - Nomura Securities Co. Ltd., Research Division Josep Bori - Exane BNP Paribas, Research Division
Operator: Ladies and gentlemen, thank you for standing by. Welcome to the SAP 2013 First Quarter Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Mr. Stefan Gruber. Please go ahead, sir.
Stefan Gruber: Thank you. Good morning or good afternoon. This is Stefan Gruber, SAP Investor Relations. Thank you for joining us to discuss SAP's results for the first quarter 2013. I'm joined by co-CEOs Bill McDermott and Jim Hagemann Snabe; our CFO, Werner Brandt; as well as Lars Dalgaard, Executive Board Member and CEO of SuccessFactors. Bill and Jim will begin the call with remarks on this quarter's performance, and then Werner will review the financial highlights. We'll then have time for Q&A. Before they get started, I want to say a few words about forward-looking statements. Any statements made during this call that are not historical facts are forward-looking statements, as defined in the U.S. Private Securities Litigation Reform Act of 1995. Words such as anticipate, believe, estimate, expect, forecast, intend, may, plan, project, predict, should, outlook and will, and similar expressions as it relates to SAP are intended to identify such forward-looking statements. SAP undertakes no obligation to publicly update or revise any forward-looking statements. All forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from expectations. The factors that could affect SAP's future financial results are discussed more fully in SAP's filings with the U.S. Securities and Exchange Commission, including SAP's annual report on Form 20-F for 2012 filed with the SEC on March 22, 2013. Participants of this call are cautioned not to place undue reliance on these forward-looking statements, which speak only as of their dates. Please keep in mind that, unless otherwise noted, all numbers referred to [ph] on this conference call are non-IFRS, and growth rates are non-IFRS on a constant currency basis. Before turning the call over to Bill and Jim, I have a few brief announcements. Starting with the reporting for the first quarter 2013, SAP will report deferred cloud subscription support revenue to provide even greater clarity into the quality performance of our cloud business, additionally reporting the cloud subscription and support backlog number. Werner will discuss this in more detail shortly. And finally, I'd like to mention that we'll be hosting a financial analyst meeting at SAPPHIRE Orlando on Wednesday, May 15. And with that, I'd like to turn the call over to Bill.
William R. McDermott: Thank you, Stefan. And thanks, everyone, for joining us on the call today. SAP had a solid start to 2013, with 25% growth in our software and cloud subscription revenue. We achieved EUR 824 million, which is equivalent to about $1 billion, in software and cloud subscription revenue, which makes this our best first quarter ever. Our solid growth was primarily driven by stronger-than-expected growth in HANA and cloud revenues. With 14% software and software-related services growth, this quarter also represents our 13th consecutive quarter of double-digit growth in software and software-related services. Our operating profit grew by 11%, and we did expand our operating margins as well. We gained significant market share from our primary competitor, especially in the areas of cloud and database. Our 25% software and cloud subscription growth is in stark contrast to our primary competitor, who did not grow at all in their latest quarter. It is clear that many application categories are increasingly transitioning to the cloud, and SAP is in the forefront of this transition. We see continued very strong growth in the cloud, with a 385% year-over-year increase in cloud subscription and support revenue and a 95% increase in deferred cloud subscription and support revenue. Now let me talk a little bit about the regional performances out there. Let's start with the Americas. The Americas delivered a strong Q1, with 51% software and cloud subscription growth. This was driven by excellent software revenue performance in Latin America and strong cloud subscription and support growth in North America. Brazil and Mexico continue to be growth drivers. They both delivered stellar software revenue performance for the company. We're clearly gaining market share from our primary competitor in this region, which saw year-over-year declines in their business in the latest quarter. These market share gains are reflected in our customer wins. For example, Petrobras, Brazil's largest energy company, will migrate to SAP Business Planning and Consolidation. Petrobras expects this migration to improve their forecast accuracy and to drive real-time financial planning based on latest oil prices and currency fluctuations in real time. We're also seeing increasing adoption of HANA in the Americas. For example, Levi Strauss, an iconic clothing brand, chose to run its analytics platform through Business Warehouse on HANA. With this, Levi Strauss expects to consolidate financial reporting globally, getting real time into product performance and helping stock the right product in the right store at the right time, again in real time. We're winning in the highly competitive cloud market in the Americas, where we grew fourfold year-over-year in cloud subscription revenue. We had a number of signature wins in Q1 over the pure-play cloud competitors. For example, ConAgra Foods, a U.S. consumer company, selected SAP HANA-based analytics for more accurate decision-making and real-time margin visibility. Additionally, ConAgra selected SuccessFactors talent management solution for better management of its 26,000 employees. Our software license revenue grew by 8% in the Americas. This was a bit lower than our internal expectations and we believe this was primarily due to the delayed budgetary cycles in the U.S. caused by the federal budget uncertainty. We expect spending environment to normalize in the next 3 quarters as companies start allocating their capital budgets to priority growth initiatives. Now turning to EMEA. We saw excellent performance in EMEA. Despite continued market uncertainty, we achieved 15% software and cloud subscription revenue growth. Our growth was strong across both on-premise and cloud. Emerging markets in EMEA such as the Middle East, Africa and Russia, are performing especially well, with 20-plus-percent software growth. These markets are benefiting from our continued investments from our fast-growth markets initiative. Energaz, a leading utilities company in Turkey, chose SAP utilities and mobile solutions over Oracle to better serve its customers. Energaz expects to leverage SAP to provide a stable platform that will enable it to triple its volume and streamline its consume-to-cash process. Our growth in EMEA was not just restricted to emerging markets. U.K., Sweden and Switzerland all grew over 50%. And we're clearly taking market share from our primary competitor in this market as well, as evidenced by our software and cloud subscription growth rates compared to theirs. We grew 15% versus their 1%. A great competitive win in EMEA this quarter was BSH Bosch und Siemens Hausgeräte, Europe's largest home appliance manufacturer. They will migrate to SAP Business Suite, powered by SAP HANA. With SAP, BSH expects to turn exponential data growth into accelerated business analytics and innovation. And finally, APJ. In APJ, we missed our own expectations, with software and cloud revenue declining by 7%. Several markets started more slowly in 2013, after a record fourth quarter in 2012 and new leadership in some markets. In China, for example, we saw a slower-than-expected demand for IT investments in the beginning of the year from state-owned enterprises due to the recent change in government, but we expect China to return to solid growth. However, even admit -- amidst this difficult spending environment in China, customers see the value SAP has to offer. Tangshan Jidong Cement Company, a large Chinese cement manufacturing company, selected SAP ERP and HCM solutions to standardize its end-to-end processes. With these solutions, Tangshan expects to improve lean operations, drive data standardization and transform people management processes by leveraging global best practices provided by SAP. We are confident that we will be back on track in APJ in the second quarter. We see a healthy pipeline across all key markets in this region, in fact, very healthy. In summary, our regional results demonstrate the strength of SAP's portfolio of innovative solutions. Our success is being driven by a very strong go-to-market approach which combines our innovations in cloud, mobile and on-premise. Giving customers choice is what we're all about. One of our biggest value propositions is our ability to leverage technology innovation and deep industry expertise to create compelling solutions for the end consumer. An area where we are creating new consumer experience is in sports and entertainment, which we recently announced as our 25th industry vertical. Key customers like the San Francisco 49ers; the NBA, National Basketball Association; and the German Football Association, are all adopting SAP breakthrough innovations such as SAP cloud, HANA and CRM ticketing. The NBA is really exciting. They're launching NBA.com/stats powered by SAP HANA. With the new HANA-powered analytics, NBA can dramatically improve the fan experience by providing real-time analytics on over 50 years of historical play-by-play data on players, teams and matchups. Very exciting. Our ecosystem remains a key differentiator. And we saw excellent ecosystem performance this past quarter, as SAP partner revenue grew double digits. Today, partner-driven revenue comprises more than 38% of SAP's license revenue, and we are on track to reach our 40% target by 2015. In summary, SAP had a solid start to the year. To put Q1 performance in perspective, historically, Q1 has been the smallest quarter for us. Our pipeline for Q2 and the remainder of the year is very strong. We have the right portfolio of solutions to take advantage of the market dynamics, and we are confident that we will achieve our outlook for 2013. We will now provide more color on our innovation performance. I'll transition over to Jim. Jim, over to you.
Jim Hagemann Snabe: Thank you very much, Bill. Our double-digit growth for, now, 13 consecutive quarters is a clear indicator that our strategy is right for our customers and, as Bill said, that we are winning in the market. Our results in this quarter clearly show that the gap to competition is widening. In other words, we are leading the transformation of the industry, moving data off slow disks into fast main memory, simplifying data centers through the cloud and reaching people on the move with mobile technology. Let's take a look at how our innovations are fueling this transformation. First, let's talk about HANA. HANA is a home run. SAP HANA is the biggest breakthrough in the industry since R/3 and continues to be a major growth engine for SAP, evidenced by EUR 86 million in HANA software revenue this quarter. Last year, we were very proud to more than double our revenue on HANA. This quarter, we tripled our HANA revenue compared to Q1 last year. We continue to be the fastest-growing database vendor in the market. And HANA is rapidly now, becoming the preferred innovation platform for companies who want to speed up the entire enterprise and reduce costs in IT at the same time. Since Q1 last year, HANA went from being the real-time analytics platform for big data and data warehouses, to now, becoming the innovation platform of choice for analytical and transactional data, for structured and unstructured data, for internal and external data and for SAP and non-SAP applications. In Q1, we saw customers standardize their entire platform on SAP HANA. For example, Kingfisher, Europe's leading home improvement retailer, has chosen to extend its partnership with SAP by implementing SAP HANA across its entire organization. Kingfisher's adoption of unlimited SAP HANA usage is proof of the value we're delivering and a proof that customers who try HANA recognize its great potential across their entire enterprise. With the power of SAP HANA in its toolbox, Kingfisher will deliver a better, faster, newer and more innovative customer experience. We, therefore, remain confident to achieve our EUR 650 million to EUR 700 million of HANA software revenue for 2013. Let's talk about cloud. We continue to see strong momentum in the cloud. In only 12 months, we have become a major player in the cloud with the most comprehensive portfolio of cloud applications, over 24 million cloud users, over 1 million companies connected in the Ariba business network and almost EUR 900 million revenue run rate today and growing very fast. We saw strong growth across every single cloud category, whether it's managing talents and human resources, managing customer relationships, managing financials or managing suppliers and business networks. With these innovative cloud offerings integrated to our core solutions, we are winning against pure-play vendors in the cloud everyday. Advanced Personnel Management, APM, an Australian workplace service provider, selected SAP Financials OnDemand over NetSuite. With SAP, APM expects to extend a flexible solution that provides dynamic and ad hoc reporting capabilities and, at the same time, better cost controls. Ariba is making a strong contribution to our cloud business. The gravitational pull of the world's largest trading community, combined with SAP's huge customer base, is attracting businesses of all sizes across the globe to connect and transact on the Ariba network. Ariba network spend volume grew on a trailing 12-months basis to $460 billion. We're beginning to see the results of the joint go-to-market with Ariba with several joint customer wins in the SAP installed base, and we expect these synergies to accelerate over the next 9 months. For example, Computer Sciences Corporation or CSC, a multinational IT service provider and partner, plans to implement Ariba procurement and business network solutions. CSC expects to integrate with its current SAP portfolio to create a best-in-class procurement process, which will drive efficiencies, lower costs and maximize the value of its investments. With the broadest portfolio of innovation and innovative cloud solutions, we are well on track to reach our goal of a profitable EUR 2 billion cloud business by 2015. The third pillar of our growth momentum is mobile. We continue to expand our market leadership with strong double-digit software growth in mobile. We are the only vendor that can deliver a secure enterprise mobile platform and offer more than 200 mobile business applications to our customers, and more on the way. All of our applications now have mobile capabilities. With this comprehensive mobile offering, we are attracting leading industry technology players, like Computer Associates, to embed our mobile technology solutions in their platform. AOK, Germany's largest health insurance company, selected SAP mobile platform to mobilize customers and employees. With SAP mobile solutions, AOK expects to improve health and wellness for over 24 million customers, as well as improve productivity for almost 60,000 employees. So that covers our 3 new innovation areas. But besides the 3 new categories, SAP remain the undisputed market leader in our core applications and analytics, and continues to gain market share. As Bill mentioned, the core was impacted by the lower-than-expected sales in APJ, but the pipeline remains very strong. With the availability of the Business Suite on HANA and Business One on HANA, we are reinventing the core, and we have the most modern business suites in the industry for any size company. Combined with analytics, we enable our customers to innovate their business, drive speeds in the enterprise and reduce costs and complexity of IT at the same time. Since the launch of the Suite on HANA in February, we already have achieved a double-digit number of customers in ramp-up. And the feedback so far, I'm happy to report, is very positive. We remain confident that we will reach general availability midyear. We expect this to be a multiyear revenue renewal opportunity, starting end of this year. We believe Suite on HANA will not just drive HANA revenue but invigorate the core, both at the installed base and at new customers. For example, Kaeser KompRESSoREn AG, a global leader in compressed air system technology, chose SAP Business Suite on HANA and SAP Sybase ASE to replace their legacy Oracle database. With this solution, Kaeser will achieve a lower TCO for IT, effective cash management, improved on-time delivery, reduced inventory, more efficient customer service and innovative service offerings. So in each category, we are innovating faster than competition and we are winning market share. However, our biggest differentiator is not the single innovations in each of our categories but how we can combine our innovations to create leading industry solutions for customers in 25 different industries. By adding HANA, mobile and cloud to our core applications, we are helping our customers reinvent themselves for the real-time digital age. This is happening in all industries, whether it's in manufacturing, services or even public sector and health care. We continue to see very strong growth in financial services, where we saw over 30% software revenue growth driven by HANA, mobile and our core banking platform. We continue to invest in financial services with the recent acquisition of Camilion in the insurance space. We are also continuing to see double-digit growth in other consumer-facing industries like consumer products and telecommunications, where we are providing real-time business value that has a direct impact on the consumer relationships. And naturally, we at SAP are at the forefront of this change ourselves, by leveraging our own solutions to increase efficiencies at SAP. Our sales organization, under the leadership of Rob Enslin, is now running CRM on HANA on mobile devices and in the cloud. We internally deployed this solution in only 8 weeks to 10,000 SAP employees worldwide. Let me conclude. Our innovation strategy is working. With our innovations, we have become the answer to companies who want to increase their business velocity in an unpredictable global economy. The quarter clearly shows that our industry is at a fundamental transformation point, driven by HANA, cloud and mobile. SAP's 25% growth this quarter and the strong results of HANA and cloud shows that we are leading this change and we are increasing the gap to competition. We have a healthy pipeline heading into Q2 and the rest of 2013, and as Bill mentioned, we are confident that we'll reach our full year guidance for this year. We are on track to achieve our 2015 ambition to become a more than EUR 20 billion revenue business, with an operating margin of 35%, a EUR 2 billion profitable cloud business, reaching 1 billion people with our innovative solutions. With that, I want to turn the call over to Werner for additional financial highlights for the quarter. Werner?
Werner Brandt: Thank you, Jim. Before I do that, I want to address a few topics. First, given the increased focus on the cloud business, we are now reporting deferred cloud subscription and support revenue. This is a subset of total deferred revenue and represents the amount of revenue that we expect to recognize as cloud subscription and support revenue in future quarters. We also disclosed cloud subscription and support backlog at year-end 2012. This number represents expected future cloud subscription and support revenue that is contracted but not yet invoiced, and that's not recorded in deferred revenue. Secondly, you probably noticed that we are reporting our quarterly results earlier now. This is a result of our own internal adoption of SAP HANA. This quarter-end close was SAP's first close with SAP Business Warehouse running entirely on HANA. Now some additional information related to Q1 results. Non-IFRS support revenue increased at constant currencies by 10% year-over-year, in line with expectations. We also, once again, had a strong adoption of our Enterprise Support offering, at roughly 96%. Non-IFRS cloud subscription and support revenue increased to EUR 167 million in this first quarter, up 385% year-over-year at constant currencies. We continued to see increasing sales synergies between SAP SuccessFactors and Ariba. Non-IFRS deferred cloud subscription and support revenue was EUR 377 million at the end of Q1, which is an increase of 95% year-over-year. Cloud subscription and support backlog was EUR 800 million as of December 31, 2012. We'll provide these backlog metrics again at the end of 2013. Before I talk gross margins, I want to make a few comments on our cloud division profitability. With the EUR 28 million profit in Q1 of this year compared to minus of EUR 25 million in the prior year first quarter, our cloud division was profitable for the second quarter in a row. Even in the cloud application segment, we are now profitable at EUR 1 million compared to minus of EUR 19 million in the prior year. Now some comments on the gross margin for the quarter. Our non-IFRS SSRS gross margin increased by 50 basis points to 82.7%. The professional service gross margin decreased by 140 basis points year-over-year to 17.3%, as customers adopt a cautious buying behavior towards large services projects, while the inclusion of the professional service business from acquisitions has a dilutive impact. The overall gross margin was 70.2%, an increase of 180 basis points year-over-year. Looking at the expense side of the P&L, you can see that the non-IFRS operating expenses in this first quarter increased by 10% year-over-year at constant currencies. From this increase, 5 percentage points came from the inclusion of SuccessFactors and Ariba. In total, our workforce grew by almost 2 -- 5,200 FTEs year-over-year, thereof approximately 2,900 from acquisitions. Non-IFRS sales and marketing cost increased by 19%, impacting our operating expenses. This led to a sales and marketing ratio of 25.4%, an increase of 2.3 percentage points compared to prior year. This increase was mainly driven by organic headcount growth in sales and marketing of around 2,000 FTEs year-over-year. In Q1, we saw a strong increase in our non-IFRS operating margin on an organic basis. This demonstrates that the efficiency in our core business has further improved. Our margin was negatively impacted by SuccessFactors and Ariba, by approximately 80 basis points. Overall, our margin -- non-IFRS operating margin, at constant currencies in Q1 increased slightly to 21.1 -- 25.1%, up 30 basis points year-over-year. The non-IFRS tax rate in the first 3 months of 2013 was 21.4%, which is down 6.7 percentage points year-on-year, mainly as a result of the regional allocation of income from taxes for prior years and from tax effects on changes in foreign currency exchange rates. We are still maintaining our effective tax rate outlook for the full year. Our first quarter non-IFRS EPS was up EUR 0.09 year-over-year to EUR 0.58. The EPS was positively impacted by the sharp decrease in income taxes in Q1, as I just mentioned. Now to cash flow and liquidity. Operating cash flow for the 3 months increased by 4% year-over-year to EUR 2.16 billion, mainly reflecting continued good management of working capital focusing on receivables, which on January 1, 2013, were 12% higher than in the previous year. This led to a EUR 2.1 billion improvement in our net liquidity compared to the prior quarter. We are maintaining our full year guidance for 2013. In summary, we still expect the full year 2013 non-IFRS software and cloud subscription revenue to increase in the range of 14% to 20% at constant currency. The full year non-IFRS cloud subscription revenue contributing to this growth is expected to be around EUR 750 million, and again, this is a constant currency number. The company also expects full year 2013 non-IFRS software and software-related service revenue to increase in a range of 11% to 13% at constant currency. Finally, we expect the full year non-IFRS operating profit to be in a range of EUR 5,085,000,000 to EUR 5,095,000,000 at constant currency. Before I finish, let me make a few comments about currency. Overall, during the first 3 months, our non-IFRS numbers at actual currencies experienced a negative currency impact compared to what they would have been if translated at the exchange rate from last year. SSRS revenue was impacted by EUR 56 million or minus 1.9%. Total revenue was impacted by EUR 67 million or minus 1.8%, impacting the SSRS and total revenue growth rates by 2 percentage points each. The operating margin was negatively impacted by 30 basis points. If exchange rate remains unchanged at March 31, 2013, level for the remainder of the year, our 2013 full year non-IFRS SSRS number and non-IFRS total revenue at actual currencies would both be approximately 2% lower than the respective constant currency numbers, representing a negative impact of approximately 2 to 3 percentage points to the SSRS and total revenue growth rates. Our non-IFRS operating margin at actual currencies would be approximately 40 to 50 basis points lower than the respective constant currency margin. Thank you, and we will now be happy to take your questions.
Operator: [Operator Instructions] And the first question comes from Rick Sherlund from Nomura. Mr. Sherlund? I am sorry. We cannot hear you. [Technical Difficulty] Next question is from Stacy Pollard from JPMorgan.
Stacy Pollard - JP Morgan Chase & Co, Research Division: Could you please discuss how you are -- sort of how and why you're very confident in the APJ returning to double-digit growth in Q2? And maybe talk about which countries are recovering, et cetera. And also, could you be more specific on mobile? You said double-digit. Is that sort of 10%, teens, 20s? And I think this is mostly platform. Is that right? And then what traction are you seeing around revenues from applications as well as developer partners, et cetera?
William R. McDermott: It's Bill McDermott here, Stacy. Mobile, 76%. Let's talk about Asia Pacific. They had a good Q4. We came into the year with expectations that were higher than their actuals. If you look at our license business, basically, the entire miss was in Asia. The reason why we're very confident that they're coming back is there was a lot of timing issues. They made 3 leadership changes, 1 in Southeast Asia, 1 in India and 1 in China. That's a lot of change for 1 quarter, and it resulted in some of these deals slipping into the second quarter. We have reviewed that pipeline, as you could imagine, quite extensively. And everybody understands what's expected of them, and they have committed the quarter to deliver strongly and be on track through the first half year-to-date. Considering the track record of 12 consecutive quarters of double-digit growth on the part of that leader and the fact that they have doubled the size of Asia-Pacific Japan in the last 3 years, we have tremendous confidence in the leader. Everybody has a bad quarter. He had a bad quarter, and he's going to fix it.
Stacy Pollard - JP Morgan Chase & Co, Research Division: Okay. And sorry, a quick follow-up, just on cloud margins. Can you say how many years it would take to get cloud to group margins? That might be a question for Werner.
Jim Hagemann Snabe: Jim here, maybe I can take that. We always said that margin in the cloud is about scale. And if you look at the last 4 quarters on the segment report, you'll see how, every single quarter, we've gone from negative to, now, positive in our gross margin. We're making EUR 28 million on the gross margin in the cloud now. And I think that exactly proves the point: It's about scale. We're having the scale and we have the right cost structure for that scale. So now it's a matter of how fast can you scale the business. Now it is a subscription revenue model, so it's not massive jumps, it's going to be hard work, but we're off to an extremely very strong start here with 385% growth in the quarter. I can't tell you when exactly that comes to the level of the rest of the business. We are not projecting that right now, but we feel very good about our projection to be the first really profitable cloud company.
Stefan Gruber: Thank you.
Operator: Next question is from Adam Wood from Morgan Stanley.
Adam Wood - Morgan Stanley, Research Division: I've got 2, if I could. Just first of all, coming back to HANA, particularly the Business Suite on HANA launch. Could you maybe give us a little bit of an indication about the customer response outside of the ramp-up clients, how open those customers are to changing database on the transactional side? And maybe, did you feel that, that caused any disruption in the first quarter, either to the ERP business or to the HANA business, as you kind of explained the new case and moved away from simply talking about Business Warehouse? And also, is -- pricing, which I think has been clarified a bit, has that helped with customers? And how do they think about that? And then just secondly, coming back to the margin question. Appreciate it was a little bit below where consensus is looking for in Q1, but with the headwinds you had, it looked as if margins were up at least 100 basis points on an underlying basis. And the hiring rate was actually quite a bit down in Q1. Is that what you -- what we should be -- expect going forward, that the leverage we get from the benefits of hiring last year, that continues through this year?
Jim Hagemann Snabe: Well, I'll -- Jim here, I'll take the Suite on HANA question. I think it's a very, very important question. Clearly, that milestone, from an innovation point of view, meant that HANA is now not just an add-on to the existing landscape, it becomes the innovation platform of the future. And we have not seen major impacts in this first quarter because we're still in ramp-up and it's very early. But clearly, the interest from our customers is very, very high, in particular, when they realize that this is not just about running their business in real time, but that HANA, as a database, actually reduces complexity and costs in significant ways in the infrastructure. And we've been a good example ourselves. We've put our CRM on HANA, and the implications in terms of reduced costs of hardware are tremendous, beyond what anyone had expected. And so we will see this product grow in general availability midyear, which means the effect of this will be back-end loaded in the year, and I think it's a multi-year way of accelerating the core and renewing it in a big way.
Werner Brandt: And with regard to the margin, what you had in mind for Q1 is actually what we are shooting for, for the full year, as you cannot [ph] really down to 1 quarter, especially not to the first quarter only. And remember, there are 2 things which has to happen. First of all, we have to stay very disciplined on the cost side. And on the other side, we also need the respective revenue growth. And here, software revenue growth is very essential in order to bring up the margin. So you will see an expansion going forward.
Operator: Next question is from Phil Winslow from Crédit Suisse.
Philip Winslow - Crédit Suisse AG, Research Division: Just one question for Bill, then a follow-on for Jim. Bill, you talked about some deal slippages in the U.S. driven by the budgetary concerns. What are your customers telling you about sort of your timing of these projects? A, are they still the sort of same-size projects that they were 6, 9 months ago? What are the focuses? And when do you start -- do you think you'll start to see these come back in and close? And then for Jim, on the cloud side too, I know we've talked about, in the past, the idea of just these hybrid architectures between the cloud and on-premise SAP. Just where do we stand in that? And has that even started to kick in, in terms of just integration between SuccessFactors, Ariba and SAP?
William R. McDermott: Phil, thank you very much for the question. First, the investment areas that you see continuing to be the large ones, the theme of growth, remain HANA, because big data and real-time predictive analytics is the way to the consumer; mobile, because you have to connect to that consumer in real time and make the ease of business obvious and competitive; and of course, the cloud. So if you look at the cloud and the U.S. adoption of the cloud, it's a first mover, it's an early adopter, and you're going to see more and more growth in the United States go to the cloud. This can be the public cloud. This can also be the private cloud, which touches on the second part of your question, and I'll allow Jim to take that, since you directed it his way. And I would also say, in terms of a lot of the larger projects, as we look at SAPPHIRE, a lot of our customers look to us for thought leadership and our point of view. And SAPPHIRE is a very important milestone in the buying cycle of SAP. It's no coincidence, in my opinion, that Q1 tends to be the slowest quarter for SAP, not just because it's historic and it's year-over-year and that's the way things are, but because customers wait for our point of view. And I think they're very interested in the Suite on HANA. That's a big move for us as a company, in exactly how we can give them different consumption models around that, so they can consume that innovation and have a faster cycle time to value. And we have plans for them in that regard. So I think you're going to see the trend continue towards the cloud, public and private. But what I love about SAP's positioning is we're giving the customer choice. And depending on the size of the customer, the complexity of their environment, they will choose to deploy however they want to. And we're ready to have that conversation in the customer's language.
Jim Hagemann Snabe: Thank you, Bill. Let me talk a little bit about the cloud. Bill already addressed the public cloud. It -- we've always said and we continue to believe that, if you want to be successful in public cloud, you need applications and architecture that was designed for that. And Lars Dalgaard and his team at SuccessFactors, as well as Bob Calderoni at Ariba, have shown us what that means. And you see that in our numbers this quarter. The fact that we are now marginally [ph] positive on gross margin is a recognition of our architectures designed for cloud. Now Bill mentioned also the private cloud, and that's where the hybrid comes in. It is clear that we have an increasing amount of customers who is asking for ways to simplify their own infrastructures. And we have the biggest, most strategic interest there is [ph] in this market to do exactly that. And we will make efforts to accelerate the simplification of landscapes, also for customers in the private cloud kind of environment.
Operator: Next question is from Gerardus Vos of Barclays.
Gerardus Vos - Barclays Capital, Research Division: A few, if I may. Firstly, during the quarter, we've -- if you look at the kind of core KPIs, we've seen the macro kind of deteriorating. We haven't really spoken about it, but did you see some kind of tougher environment towards the end of the quarter and impacted the closing of the quarter? And then secondly, on the kind of sales productivity, which has been quite weak for the last 5 quarters. You did a little hiring last year. When should we expect that the incremental sales is becoming -- going productive? And then finally, just on the core. Clearly, that was weak. So I define core licenses, minus mobile and minus kind of HANA, was very weak in Q1. Do we expect that to grow for the full year?
William R. McDermott: Yes, so first of all, this is Bill, on the environment, the environment in the public sector category has been very, very choppy and slow on a global basis, for the most part. Whether it's China and making leadership changes and state-owned enterprises changing their buying behavior, it's the U.S. with sequestration and various fiscal policy issues, it has definitely slowed down that segment of the market. The good part is there's a lot of pent-up demand. And if you've got high-value solutions and pent-up demand, it generally rationalizes itself at some point. Which quarter that will happen, we're not waiting on our heels for. We're going after other industries that are buying, and there are industries that are buying. For example, financial services has become the fastest growth vertical in the world for SAP. HANA is solving problems in the health care industry that heretofore were impossible to solve. If you look at retailers, they've got to get much more in touch with their consumer and behave in real time. So where there's a business case and there's a customer and companies and industries need it to grow, we're there. And those are decisions that are being made and investments that are being made. So I do think there's more caution, in terms of some of the large-scale companies that tend to wait for fiscal clarity and policy clarity, but I believe this is mostly going to affect companies in the commodity space, especially hardware companies, and you see that in the negative double-digit year-over-year declines. We're growing, they're not, because we're on the value side, the innovation side and the growth side of the customers' agenda. And even in a down environment, that's the best side to be on.
Jim Hagemann Snabe: Yes, there was this question on the core. The way we look at it is, in fact, that, with HANA now being the platform for the core, we're kind of redefining the core. And you'll see how companies will buy as default the business Suite on HANA or the Business Warehouse on HANA or both of them, which means that HANA becomes part of the core as well, at least the part that's the onetime license for HANA. I think the beauty of the strategy is that the core gets pulled by some of the new innovations. The mobile makes the core easier to consume, and with that, we get more users. And HANA makes the core significantly more competitive. And again, we'll have a pull in the core. So we actually believe in growth opportunities in the long run in the core, and we'll see that playing out for us coming -- in the quarters to come.
William R. McDermott: Then on the sales productivity side, you did ask a question on sales productivity. Please note that the hiring investment that we had made in the past, we intend to fully leverage in the present. So there isn't large-scale plans to increase headcount. We're running a tight ship here, a tight, tight ship, because we believe that we have the assets we need to leverage our revenue growth in a highly profitable way, and Jim touched on it and I touched on it. When you have the Suite on HANA in a private cloud, you can do a lot of things for ease of consumption for large-scale customers, and we'll be right there. So we're not sitting on our heels waiting for the market to come to us. We've got plans to go get the market. We're aggressive and ready to roll.
Operator: Next question is from Michael Briest from UBS.
Michael Briest - UBS Investment Bank, Research Division: On these calls, we normally get an update on the number of customers and live customers on HANA, so I was wondering if you can give that and maybe also how important BW was to the HANA contribution in the quarter. And then secondly, Bill, maybe one for you. You've obviously added a lot to sales headcount in the last 12, 18 months. You've delivered good license growth despite the volume deals being fined [ph], falling now for 4 quarters in a row. So you seem to be getting more dependent and more successful, to be fair, on large deals, when a lot of your competitors and peers are struggling. Is that deliberate? Is it something we should expect to change, where the volume of deals will now pick up going through the rest of the year?
William R. McDermott: Yes, thank you very much, Michael. So on the volume of deals, when you see the size of a deal increase, especially with large strategic global companies, it underscores the leverage and the relevance that SAP has as a strategic partner. Yesterday, in speaking with ConAgra, I was like, "Why did you go with us in the cloud? Why did you make the investment in HANA?" To which they replied, "We choose to compete and disrupt our own competitors on our own terms, and HANA is the real-time platform by which we can do that. The reason we chose you in the cloud over the best-of-breed coming out of Silicon Valley is because we want to partner. And when we think about the enterprise and we think about the best partner, we think about SAP." So I feel very good about large-scale customers still investing with SAP on an enterprise level because of all the innovation that we have. In terms of the volume of the deals, we have some really good progress with the ecosystem. You see a constant climb in the amount of our revenue coming from indirect channels, and that's really powerful, but we can do even better. As we take our solutions and put them in the cloud, we can make the ease of consumption, in places like Brazil or China or even the United States, so much easier for the small- and mid-size ones, and that's what we want to do. That's where you can radically see a hockey stick come in small- and mid-size businesses, by fully leveraging the power of the cloud. And that's where SAP will really roll on the number of transactions that we do. That's the best way to get scale. That's what we're gearing up to deliver on throughout the 2013 and beyond cycle.
Jim Hagemann Snabe: You asked about HANA as well. And we have more than 1,300 customers who chose HANA. We have many, many implementation projects now ongoing. You see them in 3 categories: the accelerators, which will accelerate existing functionality that they already have installed; the infrastructure for analytics, which is typically the second step, where we went big last year; and now we begin to see the first enterprise-oriented decisions and implementations, where HANA becomes the future platform. That's also why we tripled the revenue in the quarter. It's because we saw the impact on the enterprise-type deals, and we see that as a trend. When companies have tried it and seen the magic of HANA, then they go on and increase the scope very rapidly.
William R. McDermott: And finally, Michael, on the sequential growth in the number of customers quarter-over-quarter, in case you're tracking that, it was more than 30%, in the number of customers.
Michael Briest - UBS Investment Bank, Research Division: Do you think the harmonization of the pricing between BW and the suite-based version of HANA is something that's helping momentum? Is that driving adoption?
Jim Hagemann Snabe: Yes, it is. I think it's very clear now, customers can enter with BW at a very low price, then they go to the full suite, which is a normal database price in spite of the fact that the database is superior to anything else in the market. And then they go to the enterprise license. And there's a great logic between the 3 levels.
Operator: Next question is from Rick Sherlund from Nomura.
Richard G. Sherlund - Nomura Securities Co. Ltd., Research Division: Jim, first on the Business Suite on HANA. Would you anticipate that there would be a popular solution, that SAP and your partners would host this for customers to allow them to adopt Business Suite on HANA a lot more easily? And if you could also address the robustness of the capabilities of HANA for a production environment. At the middle of the year, when it's a GA, will you deliver -- I think it's [indiscernible] you're working on and real-time clustering and high availability, high reliability, the things we think about when we think of a production environment. Is that -- or is that something that will still be a work in progress, or do you expect to have that in place? And then lastly, if we could just ask Lars for an update on ByDesign, in terms of his work on making that more modular and on HANA and where we stand on that?
Jim Hagemann Snabe: Great. Let me talk about Business Suite on HANA. And thanks for all the questions. This is really an important part. You ask, "Could you consider SAP and others hosting it?" It's very clear that the moment you run the Business Suite on HANA, you have a massive simplification of landscapes as a consequence. We've seen that at SAP. And as a consequence, customers would be looking for opportunities to accelerate their pace to that future, and hosting could be one. So clearly, there will be a demand for this. And in terms of robustness, listen, we are now running on Business Warehouse. We closed our quarter on HANA, and we are now running one of the most important transactional systems, namely our CRM, on HANA. We wouldn't do that if we felt the system wasn't robust. And yes, all these tools that you mentioned will, of course, be there for a robust enterprise-ready infrastructure, which is what we have been delivering for 41 years.
Stefan Gruber: Thank you. And the question to Lars?
Lars Dalgaard: Yes. So Rick, what -- the success we're having in unbundling Business ByDesign's architecture has been extremely strong recently. We just got some really, really big wins on a line of business focused in Sales OnDemand. And we're seeing that this line-of-business initiative -- which actually was started by SAP before I got there, but I've just been able to put a lot more tonnage behind the strategy. It is clear that people buy cloud in business units and a line of business, and that's the way that it's bought. And so we've had real success in splitting that out. And particularly, what we're seeing from the ByD code is the financials is what's very popular. So about 70% of the decisions is on the financials area. And we had some nice wins against NetSuite and others in this quarter for that. And then finally, obviously, we have been able to achieve very strong growth in those areas. I don't think we split out, specifically, what the growth is. But as you know, we've also been able to have significant wins on the SuccessFactor side, because of the resources we're able to take from SAP and invest 100% into the cloud positioning and product, and that's exactly what we're doing in the CRM side and it's what we're doing in the marketing side and, of course, on the supplier side. So we believe, all of us feeling, Bob and myself, that we're getting this big push now onto the trajectory also, if we maybe had a linear trajectory or sort of moving more towards a geometric trajectory going forward. So it's pretty exciting.
Stefan Gruber: Okay. Thank you.
Operator: The question is from Josep Bori from Exane BNP Paribas.
Josep Bori - Exane BNP Paribas, Research Division: Just a couple of quick ones. The first one, just following up on the HANA numbers. I mean, I just wanted to know, how should we think about the product seasonality compared to versus the group? I mean, if we use the group license seasonality pattern, about 13% to 15% for Q1, those EUR 86 million imply about EUR 573 million to EUR 661 million of HANA revenues for the full year, which is a bit below your target. So how we should think about that? And the second question is, when you were talking about the midterm target, the 2015 targets of the EUR 20 billion revenues and EUR 2 billion of profitable cloud revenues, you did not mention the 35% operating margin. Is that still on the table? Or as a result of the comments you've made about the unpredictability of when cloud revenues are going to be at the level of the group, that's a little bit more elusive.
William R. McDermott: Okay, one of the things of merit, just on the HANA number, one of the things I wanted to just refresh everybody's mind on, not just on HANA but in general: Q1 represents about 14% of the total annual license revenue for our company, or software revenue. So you shouldn't take the EUR 86 million that we did in HANA in Q1 and kind of forecast that out as our new normal for the rest of the year. We guided on EUR 650 million to EUR 700 million and we stand by the guidance for HANA. And incidentally, if you put that in U.S. dollar terms, I think it's the fastest software product to ever hit USD 1 billion in the history of enterprise software. And then secondly, on the EUR 20 billion in revenue, that's euros in revenue, by 2015 that Jim mentioned in his opening remarks, we also stand by the 35% operating margins, and yes, we stand by the 35% operating margins. And even though we will have more of our revenues coming from cloud, we intend to do it all.
Jim Hagemann Snabe: And just so there's no confusion, I did say that as well in my opening remarks. The 35% margin was in there.
Stefan Gruber: Well, thank you very much. This was the last question, and this concludes the financial analyst call for today. Thank you for joining us, and goodbye.
Operator: Ladies and gentlemen, this concludes the SAP 2013 First Quarter Earnings Conference Call. Thank you for your joining, and you may now disconnect.